Operator: Good morning, ladies and gentlemen, and welcome to the Altius Minerals Q4 and Year-End 2024 Conference Call and webcast. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, March 12, 2025. I would now like to turn the conference over to Flora Wood, Vice President of Investor Relations and Sustainability. Please go ahead.
Flora Wood : Thank you, Ludi. Good morning, everyone, and thanks for adjusting to our new time today. Welcome to our Q4 '24 conference call. Our press release and most of the annual filings came out yesterday after the close and are available on our website. The AIF is not out yet but will be filed before the deadline month end. This event is being webcast live and you'll be able to access a replay of this call along with the presentation slides that are added to the website on both the homepage and the Investor section. Brian Dalton, CEO; and Ben Lewis, CFO, will both speak on the call. The forward-looking statement on Slide 2 applies to everything we say in our formal remarks and during the Q&A session. And with that, I'd like to introduce Ben first. Go ahead, Ben.
Ben Lewis: Thank you, Flora. Good morning, everyone. Royalty revenue for Q4 2024 was $13.5 million compared to $14.7 million in 2023. Full-year revenue of $64 million compares to $69.4 million in 2023. Adjusted EBITDA for the three months and year ended December 31st was $9.3 million and $44.1 million compared to $10.3 million and $53.7 million for the prior year periods. Revenue and adjusted EBITDA for the current year reflects higher base metal prices, higher dividends from iron ore, and continued growth of the renewable royalty portfolio, partially offset by lower potash prices and no coal revenue due to the closure of the Genesee mine in 2023. Q4 adjusted operating cash flow of $2.3 million compares to $7 million in Q4 last year. On an annual basis, adjusted operating cash flow of $24.8 million compares to $34.8 million in 2023. The decrease for the current year periods is largely reflective of lower royalty revenue receipts, marginally higher costs, as well as some working capital changes, particularly related to the timing of corporate tax refunds and payments throughout the year. Net earnings for the fourth quarter of 2024 of $85.5 million or $1.82 per share compares to a net loss of $2.2 million or $0.05 per share in Q4 2023. Net earnings for the year of $101.8 million or $2.16 per share for 2024 compares to net earnings of $10.1 million or $0.20 per share in 2023. The increase primarily reflects a gain on deep consolidation of ARR, as well as lower revenues and lower amortization. On December 5th, the corporation announced that ARR completed a statutory plan of arrangement with an affiliate of Northampton Capital Partners, which acquired all of ARR's issued and outstanding shares, other than those held by Altius, for cash consideration of $12 per share. As a result of this transaction, the corporation recognized a gain on deconsolidation of ARR of $87.1 million and will account for its 57% interest in ARR as a joint venture for financial reporting purposes. The corporation currently owns 17.9 million common shares in ARR, as well as a little over 3 million share purchase warrants. Q4 adjusted net earnings of $0.06 per share is consistent with fourth quarter of 2023, while annual adjusted earnings of $0.27 per share for 2024 increased relative to the $0.24 per share recognized in 2023, with the main adjustments being the gain on deconsolidation of ARR and some minor impairments. I'll now turn to capital allocation and liquidity. During the year, we made scheduled debt payments of $8 million, paid total cash dividends of $14.8 million, and issued 59,000 common shares valued at approximately $1.4 million under the corporation's dividend reinvestment plan. The corporation renewed its normal course issuer bill, which commenced August 22, 2024, and will end no later than August 21, 2025. The corporation repurchased and canceled 761,500 shares for a total cost of $16.2 million during the year. The Board of Directors has also approved a $0.09 quarterly dividend that will be paid to shareholders of record on March 19, 2025, with a payment date of April 2, 2025. At the end of 2024, our current liquidity consists of $16 million in cash, as well as $116 million in unused revolver room available. On August 30, the corporation amended our credit facility to extend the term from August 2025 to August 2028 and replace the combination of our previously outstanding term and revolver debt. And with that, I'll turn it over to Brian.
Brian Dalton: Thank you, Ben, and thank you, everyone. It was a busy and eventful end to 2024, and it starts 2025. Much of this has had to do with development-stage royalty projects in our portfolio, particularly Kami and Silicon, that have now begun to take on significant weight within our portfolio. A key recent highlight was the announcement from Champion Iron Ore that it brought on Nippon Steel and Sojitz as strategic development partners for the Kami project, over which we hold a 3% gross sales royalty. This large deal has done much to cement the fact that key global steelmakers recognize the developing structural deficits in the availability of high-purity iron ore and prime scrap inputs and are moving decisively to secure their supply chains. Nippon noted in a recent public statement that their investment decision came after an extensive search that resulted in the recognition of Kami as the best available undeveloped global opportunity to secure a long-term supply of DR grade ore. They also point out here that in recent months, several other major global iron ore players have begun evaluating high-grade iron ore opportunities in the Labrador Trough, a potential first-time entrance in the region. This dovetails nicely with our recent selection by the Province of Newfoundland and Labrador to advance the Stage 2 of its current process concerning the undeveloped Julian Lake deposit. At Silicon, there were two key developments since our last quarterly update. The first was the delivery of a partial award in the arbitration that we initiated to confirm the extent of our royalty entitlements in the new district. While cautioning here that the final award is still pending, Altius interprets the partial award as providing for multiple-fold expansion of its royalty rights in all directions around the base AOI area, including for several kilometers along projected northwest, southeast, and northeast trend extensions of structures that believe represent important geological controls on mineralization at both Silicon and Merlin, as well as over extensive areas within the district to the south of the base AOI that have seen limited exploration to date. The second development was the very recent publishing of an updated resource for the Merlin deposit that has increased inferred gold resources by approximately 3 million ounces to now total 12.1 million ounces. This combined with the adjacent and likely connected Silicon deposit, brings combined resources for the new discoveries to more than 16 million ounces. We further believe that the more broadly identified mineralization footprint extends meaningfully to the west and northwest, beyond the areas for which sufficient drilling information has allowed resource calculations to date. We also note that the operator highlighted in its most recent update that it has encountered visually encouraging drilling results to the southeast of Merlin that has potentially resulted in the discovery of a fault offset extension of the deposit in that direction. The Silicon area is now clearly confirmed as a new major gold district discovery in Nevada. We are currently evaluating third-party proposals as we consider our strategic options for our 1.5% NSR royalty over Silicon. As previously noted, these include alternatives to sell our interest, swap it for royalties on assets that are aligned with our traditional commodity focus areas, or to add the royalty to our portfolio -- I should say maybe maintain the royalty within our portfolio as a long-term addition. Turning to base metals, we highlight a recent announcement that first ore has now been delivered from the Eastern Deeps mine within our Voisey Bay nickel-copper district royalty. A Phase II expansion to production at the Grota do Cirilo lithium mine has been sanctioned, while late-stage construction continues at the Tres Quebradas and Mariana lithium projects. Construction is underway at the Curipamba copper gold project with first production anticipated next year. Resource expansion drilling continues at the Saúva copper gold discovery within the Chapada District, with a further resource update and a technical study currently in progress. ARR saw the continuing ramp-up for royalties in 2024 and is projected to continue this trend in 2025, with two large royalty projects currently under construction by Enbridge. The ARR gold private transaction with Northampton Capital has been successfully concluded to considerably strengthen the business's access to capital at a time when broader access to capital in the U.S. renewable energy -- U.S. renewable electricity generation sector continues to be constrained. While it is certainly true that there is a negative tone being conveyed from the new U.S. administration towards renewable energy, we also note a more important backdrop. This is a surge in demand that is occurring for electricity generally in the U.S. In reality, all forms of new power generation that can be brought to grids are required now, if not yesterday, and this is being reflected in the renewables development sector through increases in prices under direct long-term power purchase agreements with industrial customers. These contracts are serving to provide the necessary financial incentives for builders, while more traditional funding mechanisms, including the broader private and public equity markets and environmental and tax credit incentives, remain constrained and/or are threatened. We continue to believe as well that royalty-based financing has a role to play, and ARR continues to be excited about taking advantage of the increased opportunity set that has been created. Potash prices have begun to firm, and certain surprise production shortfalls in other parts of the world are setting up a potential supply deficit this year. In response to this, our operators continue to highlight their fairly unique ability to continue to incrementally ramp up their production levels over time and to meet continuing steady global demand growth for this essential agricultural input. Against this supply concern backdrop, a key observation can be made in the face of concerns relating to proposed U.S. tariffs. While these may indeed reduce affordability for U.S. farmers, if ever implemented, the simple reality is that all of the production from our royalty mines is required to go somewhere in the world, or famines will result. Think about that. I also note that one secondary consequence of the war in Eastern Europe has been an overall strengthening of the global logistics supply chain for potash, with the fact being that if some Canadian potash is replaced in the U.S. by diverted production from elsewhere, then that in turn simply creates a hole somewhere else that Canadian production will fill. These are obviously not the most efficient solutions for global food production and affordability, but the point again is that all of the world's current potash production is needed, and essentially needed, somewhere. I'll end by saying that our business deploys for meaningful growth over the next several years, with particularly strong impacts expected as assets that we have developed organically and at low cost come to fruition, and several others benefit from expansions to life extensions, owing generally to their favorable competitive positioning and large resource endowments. And with that, I'll turn it over to questions.
Operator: And we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Craig Hutchison with TD Cowen. Please go ahead.
Craig Hutchison : Just on the Altius, the renewables piece, I mean, now that it's private. Can you guys offer any kind of guidance in terms of what you're looking for with respect to revenue growth to Altius? You cited a couple projects there by Enbridge that are under construction, but just kind of get a sense of what we should expect growth-wise this year and kind of maybe leading into next? Thanks.
Brian Dalton: Yeah, so revenue growth last year would have been in the range of 60%. I think it'll be a little lighter than that next year and possibly more than that the year following. So, the kind of trajectory it's been on, when I just look at our internal projections, it feels like that's got several years of runway along those kinds of -- it won't be linear. It's going to be a little more lumpy than that. But we do have plans somewhere towards maybe end of the second half to do a little bit of a teaching, a more detailed sort of update specifically on ARR. We do recognize that there was greater visibility for shareholders through the public reporting that ARR was doing specifically prior to its privatization. So, we will at the minerals level, try to do our best to help shareholders and you and the analyst community get caught up more specifically on the business. From an Altius Minerals perspective, now that it's, it's back and private. So, we'll address that as we get into mid-year and have some of the direct management team involved with helping with that kind of teaching and overview session. And we'll let you know on the timing of that once we sum it up.
Craig Hutchison : And I guess the growth rate this year, one can assume it's probably more backend weighted versus more evenly distributed throughout the year?
Brian Dalton: I won't go there on that yet. We don't, obviously, provide guidance beyond the ARR, but I appreciate the effort there, Craig. But we'll get you a lot more color as we get into mid-year and it will give you sort of a multi-year outlook on how we see things shaping up.
Craig Hutchison : Just on potash, any sense on what you expect in terms of volume growth this year, if anything? Thanks.
Brian Dalton: I'll probably just divert again to the long-term trajectory. So, what we've been seeing in the 10 or 11 years since we've owned the royalties is that they've kept pace. In fact, they've done better. They've earned market share against the global backdrop. And that sort of long-term growth trendline is about 2.5% with some earning of market share. I do feel like, and we haven't got guidance from our operators on this yet, but I do feel like that this is the year where they could possibly step things up a little bit as far as their market share development, just because some of the problems that some of their competitors have begun to flag. And they've got the ability to, even over fairly short-term timeframes, adjust production levels. But for more structural stuff, there's more lag time. But yeah, they've got ready capacity here to try to help markets. I feel like this year, if everything holds as it stands right now with the global supply-demand balance, that they've got an opportunity here for a pretty meaningful production year. Beyond that, I should have said in my prepared remarks that we have been seeing a firming of potash prices, but I just wanted to point out to everybody that typically we have about a one-quarter lag in realization of those. It's just something to bear in mind and something we haven't touched on in our recording in a while here. Potash seems to have been less topical for the last couple of years or so, but maybe becoming more topical again now.
Operator: And your next question comes from the line of Carey MacRury with Canaccord Genuity. Please go ahead.
Carey MacRury : Hey, good morning, Brian. Just wondering if you could give us some more color on how you're thinking about silicon. I know you're still looking at potential alternatives there, but where do you think you are in that process?
Brian Dalton: We've been taking in, I mean, we've obviously been flagging that we're going to look at this thing strategically and consider all of our options, but we have been taking in proposals fairly recently here that kind of cover the gamut that I talked about in the prepared remarks. So, yeah, we do have some proposals in front of us now that we're basically in the early stages of evaluating, and that kind of follows a lot of work that we've done the first part of this year in terms of getting our own heads around what the ultimate potential at silicon might look like and to try to get our own sense of necessary steps before we consider any kind of transactions, particularly if it involves any type of disposition. So, it's quite active as we speak. We are looking at the proposals that have come in.
Carey MacRury : And with any transaction…
Brian Dalton: And I won't be adding any more color than that.
Carey MacRury : But would any transaction be contingent on finalizing the final arbitration award or now that you've got the partial award, that's kind of good enough potentially?
Brian Dalton: Yeah. So I guess where things are too with the arbitration, I mean, that is to some degree will be up to -- there's enough information right now, I believe, for at least initial proposals to come in and to be based upon a pretty decent handle on what the ultimate royalty area will be. And to be honest, the areas that I think still need to be resolved would be less material in terms of current valuation, just because they would glide much further outwards from the current areas of activity. So, I won't say that from a legal perspective before pursuing a transaction that we're there yet and that a deal could close until the final award is submitted. That's probably the case. But in terms of people putting to paper what they think the royalty is worth and certainly for us internally in putting an internal valuation on not only the published resources, but what we believe is still to come, we're definitely in a position where we can do that now.
Carey MacRury : And then maybe just one last one. I mean, ARR obviously is in full growth mode. Is there a sense down the road of when ARR will start to contribute cash back to Altius Minerals? Or is it too soon to go there?
Brian Dalton: Probably a little soon to go there. I'm actually going to leave this call and go into a quarterly meeting for GBR, the underlying holding. And so, there's a bit of a longer-term strategic outlook that's going to be discussed at that meeting. So, maybe I'll have more calling for you on that next quarter.
Operator: [Operator Instructions] And your next question comes from the line of Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur : Hi. Good morning. And thank you for taking my questions, although most of them are asked. But can I just go back to silicon on the partial award? Has anything changed? I thought it was a 60-day discussion period, which I thought it was March 10th. But I don't know how they kept the 60 days versus the announcement before. Has anything changed there? I get it. You don't sound too concerned one way or the other in the valuation, but I'm just curious. Has it been delayed or is there anything different going on right now?
Brian Dalton: No. In fact, yesterday, each of ourselves in AngloGold made our submissions that were requested in the partial award, which is to identify. And we've worked with AngloGold and there's considerable agreement about what is included and what is not included. But there's also areas of disagreement. And again, I point out those would be more peripheral land. So, each of us have made our respective submissions as well as our responses to each other's submissions. And at least to the best of my knowledge, that is the end of our role in the process. So, everything has now been handed over to the arbitrators to make final determinations, particularly with respect to those areas that Anglo and Altius currently don't agree constitute, either included or excluded land. So, it's moving along, it's on track.
Operator: And I'm showing no further questions over the phone lines. I will turn it back to Flora Wood for further questions.
Flora Wood : Thank you, Ludi. We do actually have a question from an investor online. And Brian, you talked about the U.S. sentiment toward renewables. So, questions around geothermal, and whether ARR would consider geothermal as an alternative to wind and solar?
Brian Dalton: As an alternative, no. As an addition, certainly. We look at -- We definitely consider geothermal to fall within the broader mandate of the business. And in fact, one of the early assets of GBR at the time that we got involved was a small-scale geothermal asset. So, I'm not trying to foreshadow that we're about to jump whole hog into the geothermal game, but attractive opportunities in geothermal show up. It's absolutely on the permissive list, if you will.
Flora Wood : Thanks, Brian, for answering that. And any investors who want to submit questions in advance, we absolutely welcome that. Ludi, do you have any other questions?
Operator: We currently have no questions at this time, Flora. You may continue.
Flora Wood : Okay. Thanks again to everyone for joining us. I know it's March break this week. And we'll look forward to speaking to you for Q1.
Brian Dalton: Thank you, everyone.
Operator: And ladies and gentlemen, this concludes today's presentation. Thank you all for attending. You may now disconnect.